Operator: Thank you for joining us on the webinar today. Before we begin, I'd like to announce that we'll be referring to today's earnings release, which was sent to newswires earlier today. I'd also like to remind everyone that this webinar call could contain forward-looking statements about Destiny Media Technologies, within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are based upon current beliefs and expectations of management, and are subject to risks and uncertainties, which could cause actual results to differ materially from those forward-looking statements. such risks are fully discussed in the company's filings with the SEC and SEDAR and the company does not assume any obligation to update information contained in this call.
Fred Vandenberg: Thanks, Sean. Welcome everybody to our first inaugural webinar. We want to do a webinar today to be able to -- for you to see us, to see us talking and I think that gives a better flavor of what we're trying to say. But also we'll be presenting some visuals to supplement what we're talking about. And I think that our hope is that will allow our investors to really digest what we're trying to say. With that, I will turn it over to Sam.
Sam Ritchie: Thanks, Fred, and welcome everybody. Our third quarter of fiscal ‘21 continued with high activity levels, with our third quarter revenue reaching 1.084 million. Play MPE revenues increased by 15.2% for the third quarter compared to the same quarter last year. For the quarter foreign currency fluctuations boosted our Play MPE revenues by 5.7%. U.S. independent revenue increased by 20.2% in the third quarter to 429,000 from 357,000. In the quarter, our global independent revenue increased by approximately 127,000 to 555,000 from 428,000 for the same period in Q3 fiscal 2020, an increase of 29.7%. Gross margin for the third quarter remained consistent at 91%. Operating expenditures increased by 14.3% or approximately 115,000 for the fiscal quarter ended May 31, 2021. And this increase was caused by the rise in the Canadian dollar relative to the U.S. dollar and some costs associated with restructuring and investments in our business development staffing. After adjustment for the impact of foreign exchange, our operating expenses for the quarter increased by approximately 3.2% for the same period in 2020. For the nine-month period ended May 31, 2021, we reported total revenue of 3.139 million, compared to 2.792 million for the comparative period. Play MPE revenues increased by 359,000 or 12.9% to 3.131 million from 2.772 million for the period ended May 31, 2020.
Fred Vandenberg: Thanks, Sam. As this is our first webinar, I wanted to take a little bit of time to talk about our history, about the full breadth of the Play MPE business and give you a little bit of a flavor of what's transpired. And I hope that gives a sense of why we're doing what we're doing, and where we hope to go. Just give me a second, I'll start the slides here. All right. So this is the history of Play MPE revenue on a trailing 12-month basis, starting all the way back to 2006. So, in 2006, we had already been trialing the system, demoing the system providing free access and in 2006, we started charging in the United States. And as you move along there is this graph here, you'll see that Q4 2008, we started charging in Northern Europe, we started with I think it was all three major labels in Sweden, then we expanded from there. In Q2 of 2009, we signed commercial agreements in Australia, at the very end of fiscal 2009, we signed Universal Group International in the U.K. So really, when we do trials, we typically start charging the majors, we start distributing for the majors first, because that generally gives us a desirable content which gives us activity which allows us to sell to more labels, generates list that sort of reinforcing platform usage. Now, moving forward a little bit, what you see is in five, which is really September of 2012, Universal acquired EMI, so the big four majors became the three major labels, Warner, Sony and Universal and Glenn is going to talk a little bit more about what those are.
Glenn Mattern: Thanks, Fred. Appreciate that. And if you were like me over the last year, in particular, you've been living in video call. So I really thank you all for taking the time to join this first webinar. I think we all -- I certainly know that I do look forward to meeting in person more often or at all, in some cases. I won’t take too much of your time but as Sam noted, another busy quarter. So we're happy about that we continue to evaluate our business development team to continue to improve our customer relationships. And early in Q3, we reduced one member of our team, and then onboarded two new U.S.-based business development staff, which Fred sort of alluded to. Both have extensive backgrounds in music promotion, and have brought a keen strategic insight into the needs of our various customers. And then, both have a wealth of industry contacts. The first joined late March, which is New York based Alan Benedict, he was formerly National Director of Promotion at PS which is our family of independent record labels. And he was a Manager of National Radio Promotion at the Syndicate, which is an independent entertainment marketing agency, both household names in the industry. While his focus primarily on the East Coast, he manages majority of our national accounts and formats such as AAA, Americana, alternative, rock, noncomm, and he's grabbed that and really run with it. Early in April, really a week later, Los Angeles based Glenn already joined our team. Glenn worked in a variety of director roles at our legendary San Francisco Bay, urban contemporary radio station called KMEL. For most of the 90s he was there, then onto several years as National Director of Cross Promotions at Capitol Records in Los Angeles. And then he went on to own his own independent promotions company for over a decade, and often working with some of the major sub labels. His experience is quickly helping us expand usage in underserved formats such as rhythmic and urban. We are pleased, I'm certainly pleased, we're all pleased to see a consistent increase in content flowing through the platform in those particular formats. Takes time to build these relationships. And Glenn has certainly been a great foot in the door with labels and recipients who haven't always considered Play MPE and these rhythmic formats, particularly at major labels. And as Fred sort of alluded to, I'd like to expand on what we mean when we refer to major labels, we sort of assume everybody knows we talked about the majors but I appreciate you're not all embedded in this business. The so called big three major labels are Universal Music Group, Sony Music Entertainment and Warner Music Group, all three of these companies on many other labels and they form a label family. When we speak of music, with Universal Music Group, we're generally referring to their underlying sub labels such as Def Jam Recordings, Capitol Records, Republic, Interscope, Universal Group Nashville, Hollywood Records, and many more. Sony Music Entertainment includes sub labels such as Arista, Columbia, Epic, RCA, Sony Music Nashville, Providence, and again, many others. And if I'm talking about Warner Records, for example, we're referring to the sub label of Warner Music Group, and Warner Music Group owns such other labels such as ADA, Electra, Atlantic, Rhino, Warner Music Nashville, Warner Music Latina, and again many others. So you need to consider that within these various sub labels are different format hits example, the team managing rock releases is likely to differ from the team managing the rhythmic releases, and they may actually be in different cities. One of the reasons we've added staffing resources is to address the need to build on these relationships at various departments. We've taken the time to make sure we're adding people with skills, we think will be productive in building relationships, pleasant, connected and smart, and we've been really happy with the results today. We've seen new usage in rhythm in urban formats, as I mentioned, with one sub label such as Atlantic and Warner Records, UMG sub labels such as Interscope, Ireland and Republic, Sony labels such as Columbia, RCA, Epic and Arista, as well as the major independent label Empire, and we're also servicing top 40 releases from Columbia, Warner and Arista. You may recall that early in the calendar year of 2020, pricing for Warner Music Group was adjusted to contracts with their sub labels, as Warner's decided to make their billing less centralized. I'd like to note that we've signed a two-year agreement with Warner Records, which was effective May 1, '21. We also believe that a strong presence in the U.S. with U.S. major labels helps us be to more and more successful with our continued expansion worldwide. We've touched on our advantages in previous investor calls. I think Fred said, we don't do one thing better, we do 30 things better. But there are certain aspects of the Play MPE platform that really cater to the use cases of major labels, for example, generally, the same assets and metadata are used in multiple territories. The Play MPE cast release sharing module, which is a long name, but that's what we call it, allows label teams to efficiently and securely share music assets and release information such as artwork and metadata with global teams without the duplication of work. This reduces time consuming and repetitive tasks, times many, less errors and content is controlled. We also have contact management, asset management, label management, reporting and release scheduling modules that really make global distribution or global marketing promotions very productive and efficient. At the moment, these modules are primarily used globally by Universal Music Group, and as the start of the fiscal 21, Warner in Northern Europe. While these aspects currently exist within the platform, we're bringing all these modules into a web platform, and that process should be completed this summer. The business development will be working to market and sell these aspects. To give you a little bit more of a concrete example, we know that major labels in Canada can increase their efficiency and leverage these aspects of the Play MPE platform to make some of their marketing distribution preparation faster with assets that are already updated with accurate information. But also in many cases, the Canadian major label is sometimes left scrambling at the last minute, as songs aren't even made available to local staff until the last possible minute. With the Play MPE release sharing and embargo dates this process is significantly easier and faster. This is just sort of one example of the hassles that we see that we can help with. Currently in Canada, the local divisions of major labels tend to operate in the same way as other smaller labels, and up until recently have been able to take advantage of Play MPEs platform. So really to-date, we've been competing based on badges for smaller labels. As Sam mentioned, Q3 '21 concluded with a 9.7% increase in revenue over the same period last year after -- pardon me, lost my notes for a second. Activity the quarter saw an increase of 2.29% in releases which are unique pieces of musical content with accompanying metadata uploaded to the platform, 26.46% incense, that's the number of destinations that the tracks been released to. And little over 20% in distributions, which is the number of tracks within each release over the same period last year. Our marketing efforts again show positive results with an increase in leads of over 42% of the quarter. And we're seeing a strong increase in traffic to our website over the course of the year, which is over doubled, we've had 80 in Q3 of last year, we had 80,578 visits we've had 17,519 in this quarter -- in Q3. Let's talk a little bit about couple of our initiatives, we've got in the go, our Latin initiative continues to expand in the U.S. and Puerto Rico from UMG sub labels such as , Fonovisa and Disa. Early in Q3, trial usage started from Warner Latino U.S., and later Sony Central America and the Caribbean. We continue to add trial usage by strategic independent labels such as Jane and Music Group, Aztech Records and Miranda Music and Criteria Entertainment, as well as key promoters. We're also working with Laraya Media Group, I apologize that my Spanish is terrible pronunciation is terrible in the Dominican Republic. We expect to start converting these trial to paying customers soon, this just take some time. Our outreach to Latin radio stations in the U.S. and Mexico also continues. But I just want to note that, based on the pandemics a little harder to connect with people as they're not in offices, I'm really proud of our team. They're doing a great job of engaging with clients. But I know that as soon as we start traveling again, and the ability to visit conferences and various other means of in person meetings, will engage with these people even better. Moving over to our Canadian initiative, it continues to grow, indie revenue in Canada has grown by over 270% over the same period last year. This comes in part from indies distributing outside of Canada. Our platforms global presence embedded lists are yet another advantage to our local competitor can offer. In terms of Canadian activity metrics based on the same quarter of last year, releases are up over 16%, sans over 27.5%, distributions are up 22.9%, downloads, downloaded tracks are over --people have downloaded over 4x from other tracks over the same period last year. And activity from unique recipients is up over 70% over the last quarter in 2020. As well, I want to mention that earlier in the quarter, we started an extensive trial usage by one of, if not the largest independent distributor of French music content in Canada. These folks have been terrific partners and we've learned a lot about the French-Canadian market. And we've just recently converted their trial to revenue on a pilot agreement. As far as Warner Canada's first trials began -- just began in June of this year as well. So want to mention as well, in South Africa, Warner's want to sell our Universal South Africa continues to use us, extensively Warner South Africa continues to trial. And I just want to give a little nod to South Africa is going through a tough time right now. They've had some -- face some real significant hardships through the pandemic. And now today that some more issues over there. So our thoughts are with our friends there. Our reseller partners stamp communications continue to promote our platform, help expand our distribution lists, and consistently manage releases in the region. And they're working on some really interesting partnerships for us there as well, which we'll note in later calls. And we continue to look to new territories as well, Nigeria, Ghana, Kenya, Tanzania, these are all on our target. So I've talked enough with that. I'll pass it over to Sean who will talk about how will manage the Q&A. Thank you.
Operator: Okay. Yes, thanks, guys. So, with that, we'll start the Q&A, question-and-answer session. So should you have any questions, please press the raise your hand button at the bottom of your screen, and your questions will be pulled in the order they are received, in which point you'll be prompted to unmute your microphone for speaking. Should you raise your hand please ensure you have access to a microphone and should you wish to retract to ask a question, you may select the hand icon again to lower your hand. Alternatively, you may also submit your questions through the Q&A function at the bottom of your screen.
Fred Vandenberg: Okay. So, Sean, I'll start to answer the verbal question here, written questions, rather. The first question I have is, what is the amount of costs, the company will be public? And what are we spending on public relations efforts? I don't have a hard number for you. Because, for example, we spend, I don't even know how much on our audit fees, but query whether we would need that with a diverse investor group if we're not public, but I wouldn't say our investment in being public is a large expense. We have listing fees, some legal fees. But, of course, the audit fees, but these aren't costs that necessarily would go away, the listing fees, of course, would. But it's our savings from not being public, or if that's how you'd want to look at it would be under 100,000. As far as public relations go, relations fees, right now, it's mostly time -- mostly investor, time that we spend, or I spend talking to investors and that sort of thing. We don't have an IR firm working for us at the moment. We presented at our conference in September, but, again, these aren’t significant investments. The query how much that's going to be going forward. I think, at some point our stock price -- our stock needs to be marketed as well. We have started, this is another investment of staff time, but we started tracking visits to our corporate site to understand, what people are spending time on, what people -- how much time, how many visits we get, maybe we start doing some corporate advertisements. Right now, we see a little bit from our Google Analytics that our visits to our website is probably people that are looking for the Department of Sanitation of New York. Unfortunately, it's probably a little bit funny. But our website or corporate website is yes and why. So that throws things off a little bit, but we're talking about doing a rebranding too, a corporate rebranding. I think we'll time that with maybe bigger announcements, but that would be an investment of time as well. Second question is, what's the financial impact to Destiny signing Warner? Does that mean every label under Warner will use Play MPE worldwide? The short answer to the question is no. We've signed Warner Nashville and Warner Records to your agreements. We hope to expand that within the other sub labels to agreements but right now, they're generally paying as they go with trials for Warner Latin, Warner Africa, Warner Canada. But I think it's important to touch on these modules that we talk about. When I say we don't do one thing better we do 30 things better, it is true. We have -- I talk about modules, our product team talks about use cases, which is, what they're supposed to do. But what we want to do is leverage these agreements. And our recent hires of new biz dev staff in the U.S. is, I'm really happy with so far as showing that new usage at New departments within sub labels of major labels. You're just starting to really add content to the system. Now, the farther we get down that track and especially when we move all the modules over to the web based version, these labels whether the U.S. Labels are very influential, we hope to leverage both the existence of those tools and the content from the U.S. majors to get content deliveries in new jurisdictions. We see that with Universal. Universal is using these modules as it is, that's why, we get a lot of content from Universal. But, for example, recently, we started doing Warner Canada releases. And I think that's in part because there's certain advantages of Play MPE where you can do those distributions in a new territory very quickly and you see that. We've seen it where, major labels are in our territory in Canada, are left scrambling to get content because that content isn't being shared until it's allowed to be shared. Like there's embargo dates or dates when they don't want to send that out. Well, we can, set that up automatically, so that the content actually becomes available at a particular time. And that's not something that's available in other systems. That's again, one of those 30 things. I'm actually probably underselling it. When I say 30 things, we do a lot of things better. The third question is, $3 million of cash we have in the balance sheet, how are we going to use that to benefit shareholders? There's different options to do that. I haven't seen any acquisitions that makes sense, as of yet. But I also think I alluded to the new products, new services. As we move further down the track of building out a business case, business plan, we may start to use some of that cash dip into it to move more quickly. Which I think potentially, I'm not suggesting we know that what's going to happen, but if we see an opportunity to build out a new product more quickly, by spending, marketing or business development staff or even technological resources to get a longer term revenue growth, we will do that. And we're working on that maybe we are investing for new products. So, $3 million isn't doing us a lot right now. I think, you know, probably the biggest thing it provides us is a little bit of security should something like COVID happens. Clearly, that didn't hurt us. But we do tend to you want to use it. I don't want to have it sit there. Right now, we're using it a little bit to do a share buyback, because I still think our share price is undervalued. But I like it there too, because I think there is some possibilities to invest and grow a little bit more rapidly. Well, there's lots of questions. Will there be an acceleration of the buybacks the rest of the year? I can't predict that that's a dependent on the stock price, how it's doing. Do you expect double-digit revenue growth to continue? I don't like to predict those things. The I'm going to share my screen again. This I think you can see this right. This is the one I probably spent the most time talking about. But this major label revenue here is this line is, we are building out Play MPE content. We're building Play MPE usage on a trial basis in New Territories. We are doing that currently in a few. We think that we hope to grow that major label revenue in sort of steps as we achieve a certain number of -- certain usage and certain activity rates, it was a little bit of nuance there to figure out how happy the client is. But we tend to want to grow that major label revenue in steps, as we got territories, and the Indies will follow. We to get indie revenue, generally you need recipient list, that's our operations department, they'll build out some recipient lists, as one of the catalysts of growing our market share. From a technology standpoint is self-checkout. We have self-serve software. But really, it's a matter, right now, the way it stands is we have to communicate, here's our price list and we'll bill them at the end of the month. One of the things we're going to work on in reasonably short order is a self-checkout where we acquire customers and they check out and, and as we build out the major label revenue in different new territories, we expect that piece of the software will allow us to scale quite rapidly. Is Play MPE, just 5% to 10% of the global industry, or what percentage have you secured? I wouldn't change my estimate on that. In fact, I think it's probably conservative. I think there's tremendous opportunity. We don't update those estimates market size, but the market is huge, relative to where we are. And as we add on these new products, you're going to get new addressable markets. And I mean, we want to invest to grow as quickly as we can, we see tremendous opportunities. And we're going to attack it as quickly as we can, because we think there's tremendous amounts of growth. Let's see what else -- what are the questions there. What do you think the company has done differently to warrant the stock price increase over the last year? Well, I think it's really a revenue growth rate is increasing. I hate to use the word accelerate, even though that's precisely what we're doing. Because I think real -- we are targeting higher growth rates, it's just a matter of building out these, these modules, these catalysts and new products to grow. Over the last year, when you compare to last year, we were bizarrely undervalued. And I think that was a function of big seller, former CEO  , and that just take the stock price when, at one point, we had half of our market cap in cash and growing and we're growing and we have positive income. So I still think we're undervalued. And then, another question is, are we planning to do more Investor Relations? And I think the short answer is yes, it's just a matter of figuring out our priorities. We were really constant -- we're focusing primarily on growing the business and we see tremendous opportunities to grow. And that's our first protocol. I do think we don't want to neglect marketing our stock, of course, but at some point, these things are going to get out if we're making a lot more money or revenues growing, whatever the fact pattern is, I think it's going to become really obvious that we're undervalued to a lot more people. But again, we're not going to hope and pray that happens, we're going to make sure it happens. There's questions about competitors. There's a lot of competitors in different locations. We see competitors in Germany and in the U.K. and Canada and in Australia. But it's really depends on where you're talking about -- the very niche -- they tend to be very niche, like the competitor candidate is generally only in Canada, in fact, I think they've really struggled to get outside of Canada. There's competitors in Australia, but they tend to be in sync and they want to compete with us sync is, revenue associated with marketing music to music supervisors. So what sync means is, you synchronize the song with video, and so you it's movies and things like that, where royalties come back. But that's not a market we're strong in right now. And I think that's one of the things we can add, but, but you'll get competitors everywhere. And we I think we have real strong competitive advantages and we're investing a lot of money to maintain those competitive advantages. I think our relationship is great. So we expect to continue to expand on that usage. There's a question on reconciling growth percentages of our usage with growth in revenue. And how do you reconcile those? Well, that's primarily I would say, due to trials. So when you have to, when you build a market, and you've seen this, if you look at that graph, originally that I sent up, we started marketing territories, we started distributing territories in 2003. We didn't start charging until 2006. And that's similar to what you see, although the timeframe back then was, I think, quite a bit longer than it needed to be. But and for example, in Latin, you're going to see a lot more -- a lot of distributions, a lot of sense, that we're not charging for. So we haven't carved when Glenn talks about activity numbers. There's a portion of that that is on a trial basis. We haven't carved that out yet. It's something that maybe we should do in presenting these numbers. But that's essentially what I've been trying to communicate is that we, we grow usage and these growth numbers will translate into revenue eventually, at least that's the whole purpose of why we're doing these trials. Yes. Okay. That's not really a question. It's more of a question on our growth opportunities, and how we're going to invest into that. Again to that, streaming tracking, and whether or not that's a business that we like how we attack that market. We'll be digging into that over the next little while and as we build up the technology, we need to build out the business case, who do we charge, how we charge? What do we present? All these kinds of questions. But it's whether or not we use that $3 million of cash. It isn't a great deal of money. It's a great deal of money in terms of us being a small company, again, but it's not -- I completely agree, it's not a whole lot of money. Anyway, I think there's some long-winded questions and I think these are probably better served with a dialog, but I think I'll leave it there for now. And I'll maybe dig into some of these other questions at a later time. So I hope that -- okay, one last question here is, how is it Central and South Africa were not on you're really on your graphed color chart. Sorry, Central American, South America, I think that's the question. They're not on the graph, because there's not revenue associated with that use yet. That's this whole trial and then eventually, we translated into revenue. So that first graph was revenue, and we'd have to distinguish that from actual use. Anyway, I think that's leave us at an hour. So I think we'll cut that short and we'll see you next time. I hope this is productive. endeavor for you guys. Thanks again.
Operator: Okay. That concludes today's webinar. Thanks again, everyone for joining us today.